Operator: Good morning and welcome to the Kopin Corporation’s First Quarter 2014 Financial Results Conference Call. (Operator Instructions). With us today from the company are Chairman and Chief Executive Officer, Dr. John C.C. Fan; and Chief Financial Officer, Mr. Richard Sneider. Please go ahead, sir.
Richard Sneider: Thank you very much Operator. Welcome everyone and thank you for joining us this afternoon. John will begin today's call with a discussion of our strategy, technology and market. I will go through the first quarter results at a high level. John will conclude our prepared remarks and then we'll be happy to take your questions. I would like to remind everyone that during today's call, taking place on Tuesday, May 6, 2014, we will be making forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. These statements are based on the company's current expectations, projections, beliefs and estimates, and are subject to a number of risks and uncertainties that could cause actual results to differ materially from those forward-looking statements. Potential risks include, but are not limited to, demand for our products, operating results for our subsidiaries, market conditions and other factors discussed in our most recent annual report on Form 10-K and other documents filed with the Securities and Exchange Commission. The company undertakes no obligation to update these forward-looking statements during today's call. And with that, I'll turn it over to John.
John Fan: Thanks Richard. Good afternoon everyone and thank you for joining us. I would like to send apologies in advance as many of you probably asked -- I am suffering from a seasonal allergy so I would keep my comments a little short -- shorter than usual. We continue to make excellent progress towards our goals of becoming a global leader in wearable technology. During this quarter we work on finalizing contracts with several large customers and we expect to see this completed by the end of the summer. We currently are working under agreements with those customers which enable us to design products and procure all the [ph] item materials while we negotiate the financial agreements. While we can never be 100% sure that final agreement will be reached, these customers are seriously investing their time and resources in this program. We have hired additional executive managers in our marketing and business development areas. We have always have interest on military, aviation sales experience. These additional individuals will bring licensing and customized component marketing experience. We have been studying a third party manufacturers for our reference design. By some potential customers capability to produce products based on these designs. Some would prefer to procure them from our contract [ph] manufacturers; they are coping as established relationship with. These are especially important for some customer who have niche applications. And we continue to make substantial category improvements in our displays, optics and other critical components necessary for the wearable market. And a result the assets behind the technologies and devices which we demonstrated in February. We filed 40 patents, new patents application in the first quarter of 2014. On a military side we continue to work on the next generation of military scope which overlay symbology and graphic information on a direct view optics to making augmented reality scope. We believe our solutions designed later this year and we should see revenue from this program in 2015. Finally sales of our components for military application increased 76% year-over-year as we continue to make progress in the 3D metrology market and we expect revenues for this part of line will continue to grow. We believe to see the result of our effort in the fourth quarter of this year and then see a substantial revenue growth for our wearable products in 2015. Beyond just our internal assets and discussions with potential customer, a closer look on reason in the industry trends further confirms our strategy. For example, Microsoft, Intel have stated they plan to have -- make several investments in wearable technology companies. As Samsung, as well as many small players are showing signs of small commitments to wearable. Our portfolio solution, software and critical components led by 20 years of intellectual properties get to us wearable computing space plus our experience of integrating this technology because there is ton of choice for many of these companies. Kopin is at the front of a growing wave and we believe the inflection points within the next year. Feedback from potential customers, the success of our February Wearable Technology event and independent studies which continues to provide robust estimates of the size of the future wearable market, we enforce our focus. With our strong financial position of 106 million in cash and marketable securities, our industry leading products and IP portfolio and our strong reputation in the market. We’re well positioned to execute our strategy and grow with (indiscernible) of the wearable market. We look forward to provide additional updates as they develop throughout the remainder of the year. With that I would now turn the call to Richard for the quarterly financial results.
Richard Sneider: Thank you John. Beginning with our results for the quarter, total revenues for the first quarter of 2014 were 4.7 million compared with 6.3 million for the first quarter of 2013 primarily reflecting the expected decline in sales of display products for military applications which was partially offset by increased sales and component for wearable and industrial applications. Before we go to operating expense, it is important to remember that our expense structure is not tied to the current quarterly revenues or fiscal year revenue projection which were our longer term goal. Cost of goods sold for the first quarter was 100% of product revenues compared with a 107.1% in the first quarter of last year. Improve in growth margin reflects a decrease in sales of the display products; the digital [ph] applications have our lowest margins. R&D expense in the first quarter 2014 was 5.1 million compared with 4.2 million for the first quarter of 2013. The increase in cost resulted of our concept designs including investments in software development. SG&A expenses decreased from 5.7 million in the first quarter of 2013 to 5 million in the first quarter of this year. The decrease in SG&A for the first three months of 2014 versus the corresponding period in the prior year is primarily related to a decrease in stock compensation cost. Other income expense net is primarily composed of approximately 200,000 in foreign currency gains. Turning to our bottom line our net loss for the quarter was 9.1 million or $0.15 per diluted share compared with a net profit of 21.4 million or $0.34 per share for the first quarter of 2013. Of course it's important to note that net income for 2013 period reflected the gain on sale of 20.2 million on the company’s January 2013 sale of it's III-V product line including all of it's equity interest in Kopin Taiwan Corporation to IQE, plc. Cash flow used in operating activities was approximately 6.1 million for the first quarter. First quarter amounts to depreciation, amortization and stock compensation expense as well as CapEx and share repurchase amounts are included in the table attached to the Q1 press release. Now for guidance, for the full year 2014 we continue to expect revenues in the range of 18 million to 22 million and a consolidated net loss in the range of 32 million to 40 million. We estimate we will use between 28 million and 32 million to fund operations in 2014. And with that I will turn the call back over to John.
John Fan: Thank you Rich. As the demand in this industry grow we’re collaborating closely with our partners to ensure they will be ready with devices that match the need of their enterprise, industrial and consumer end users. Kopin has been driving the development of technology and product in precisely the areas that are crucial to make wearable a reality. The transformation of our business model (indiscernible) and will give us ability to generate potentially higher growth margins. As I said earlier we look forward to reporting new and exciting developments on future calls. And now operator please open the line for questions.
Operator: (Operator Instructions). Our first question comes from Tom Stephens from Wunderlich Securities.
Tom Stephens - Wunderlich Securities: Quick question, I think in the February Open House you talked about some design wins and perhaps John already answered this in his opening remarks but just to be clear, if you had some additional design wins since February and then kind of a follow on how do you -- how were your expectations of the U.S. market relative to overseas for the wearable computing and any place overseas where you’re thinking has evolved that you think are particularly attractive relative to other opportunities?
John Fan: Yes we have some design wins resulting from the launch of these events. I want to make it clear that those launch events were so intensive we actually filed 40 patents. So there is a lot of activities going on and we have additional design wins after that. So to answer your question about which area will be most lucrative for growth? We actually see a global event here. We still have very good customers domestically but we also have growth of very good customers in Japan and other countries in Asia. So right now we think we’re now establishing ourselves as a leader of the wearable and our critical components are much designed [ph] by people all over the world right now.
Operator: (Operator Instructions). Our next question comes from Mario Gabelli from Gamco Investors.
Mario Gabelli - Gamco Investors: Yes I was hoping my analyst would be on the call, I haven't met with you and we look forward to saying hello in person. I know our team is interested, just share with me and I wasn’t early on the call because I have been grazing on three calls. What’s your cash burn look like for the -- as you look at your cash burn I mean a 40 million or whatever you gave in the outline I also see that you’re buying back stock, can you share with us why you’re buying back stock in-light of the possibility that you may have to meet financing down the road or how do you look at cash flows in 2015?
Richard Sneider: Sure. The operations, we burned 6.5 million in the first quarter. Our overall projection is 28 to 32 for the year and our stock buyback program, the authorized program actually terminated at the end of March.
Mario Gabelli - Gamco Investors: Okay so you bought a small amount of money, that was a pay again?
Richard Sneider: Right. It's about $300,000 worth of buyback in Q1.
Mario Gabelli - Gamco Investors: So looking into 2014, 2015 any timeframe in which you guys think you have enough to be cash flow positive? I mean at what point?
Richard Sneider: Well we would expect if all things hold true we would hope to be cash flow positive next year.
Mario Gabelli - Gamco Investors: What quarter of 2015? And what do you need to do that a bunch of license wins? A bunch of product wins?
Richard Sneider: Both, component and license revenues.
Mario Gabelli - Gamco Investors: And you got the show coming up next month. I have another team mate going to that, what should he be looking for? Are you presenting products with the Consumer Electronics Show or not Consumer Electronics, the Technology Show?
Richard Sneider: Besides the information displays, so the CES show we will have people there dandling products. I think it's next week, the (indiscernible) is going, the military products were there and then CES is January.
Mario Gabelli - Gamco Investors: I know the CES it's in Las Vegas; tell me which one is the one that somebody is going to look at within the context of getting a better handle on some of the dynamics that you’re addressing.
Richard Sneider: Well that will be Society of Information Displays, I believe that’s June of this year.
Mario Gabelli - Gamco Investors: It makes me look smart when my analyst coming with us, it's going to be?
Richard Sneider: San Diego.
Mario Gabelli - Gamco Investors: We will get somebody there. Excellent. And what other elements should we look at with regards to dynamics either in products, licensing or any announcements?
Richard Sneider: Well it's our expectation that there will be a products team test marketed in the second half of this year and--
Mario Gabelli - Gamco Investors: But your annual report was quite -- gave a lot of enthusiasm for microcap stock, I mean they are delighted -- don’t take that as a wrong way by the way. The market cap is opposed to your intellectual IP prowess, in terms of the dynamics. My problem is somebody took my earnings release that came out and I can’t find it. Any other comments that should be highlighted that you want to embellish on beyond what we have talked about?
Richard Sneider: No.
Operator: Thank you. I will turn the call back over to management for closing comments.
John Fan: Thank you everyone for joining us today. We look forward to speaking with you again in the near future. Thank you.
Operator: Thank you. This does conclude today’s teleconference. You may disconnect your lines at this time. Thank you for your participation.